Operator: All participants thank you for standing by. The conference is ready to begin. Good afternoon. I would now turn the meeting over to Mr. Jamie Porter, Chief Financial Officer. Please go ahead, sir.
Jamie Porter: Thank you, operator; and thanks, everyone, for attending Alamos’ Third Quarter 2015 Conference Call. In addition to myself we have on the line today John McCluskey, President and CEO; and Peter Macphail, Vice President and COO. I would like to remind everyone that our presentation will be followed by a Q&A session. On this call we’ll be making forward looking statements. Please refer to the disclaimer on forward looking statements in our news release and MD&A as well as the risk factors set out in our annual information form. All forward looking statements on this call are qualified by these cautionary statements. There can be no assurance that our forward looking statements even though considered reasonable by management based on information on hand will prove to be accurate. Future results and events could differ materially. Technical information in this presentation has been reviewed and approved by Chris Bostwick, our VP Technical Services, and a qualified person. Also please bear in mind that all of the dollar amounts mentioned in this conference call are in U.S. dollars unless otherwise noted. Now, John will provide you with an overview.
John McCluskey: Thank you, Jamie; and good afternoon, everyone. The third quarter was notable on many fronts. It marked our first quarter reporting consolidated financials, post-merger. We achieved new milestones at Young-Davidson and we strengthened our development pipeline through our proposed acquisition of Carlisle Goldfields. We also reported excellent results from our ongoing explorations at Cerro Pelon and La Yaqui, with step-out drilling, indicating the potential to add to their reserve base. Operationally, we produced 88,000 ounces of gold in the quarter, bringing consolidated production through the first nine months of 2015 to 275,000 ounces. Our operating costs were higher in the quarter reflecting the seasonally weak period at Mulatos, so on a year-to-date basis costs are tracking in line with guidance. We remain on track to achieve our full-year consolidated cost guidance and expect to meet the lower end of the range of our production guidance, roughly 375,000 ounces. Young-Davidson continues to get its key operational targets an achieve new milestones, including averaging underground mining rates of 5,400 tonnes per day in September and a new record of 5,600 tonnes per day in October. We remain on schedule to achieve our target of 6,000 tonnes per day by year-end, reflecting the ongoing productivity improvements and the weaker Canadian dollar we also achieved a new low in terms of unit mining costs at US$32 per ounce - pardon me, per tonne. Production of 38,200 ounces was flat from the second quarter, as we mined through low grades as part of our stope sequence. However, we expect higher underground throughput to drive stronger production in the fourth quarter. Mulatos had a challenging quarter with production of 27,500 ounces reflecting both the heavy seasonal rains and lower high grade production as commissioning of the mill was slower than anticipated. We made the conscious decision in the third quarter to pull back mill throughput and not process the high grade San Carlos ore until we improve recoveries. This work is now complete and we are processing our high grade stockpiles and expect this to contribute to a strong rebound in production in the fourth quarter. El Chanate had another strong quarter with production of 21,900 ounces. The operation has generated positive free cash flow through the first three quarters of this year and is on track to surpass full-year guidance. We’ve been aggressively exploring up Mulatos with up to 8 rigs and nearly 20,000 meters drilled at Cerro Pelon and La Yaqui during the third quarter. This has yielded excellent results at both deposits including high grade intercepts at Cerro Pelon, in the order - example, 4.5 grams over 50 meters in a new zone of mineralization about 100 meters north of the existing reserve. We’ve also discovered a new zone of mineralization at La Yaqui, 500 meters along strike from the existing reserve with highlight intercepts including 1.36 grams over 117 meters. Ore grade intercepts have been encountered a further 750 meters along strike, highlighting the growth potential of the deposit. Cerro Pelon and La Yaqui will be our lowest cost ounces at Mulatos. So any growth that we can add to these deposits will have a significant impact. We’re in the process of acquiring Carlisle Goldfields, consolidating a 100% ownership in the Lynn Lake Project in Manitoba. This is a good transaction for both sets of shareholders. Carlisle shareholders received a generous premium and the ability to participate in Alamos’ future upside, while Alamos will acquire full-ownership of an attractive project in a jurisdiction of favorable terms. In Turkey, the recent majority win by the AK Party was a strong vote of confidence for the country’s economic future. The AK Party’s success has been routed in strong economic development. We believe the emphasis on economic development is a positive for the entire mining industry including for our projects. The ongoing gold price volatility has put pressure on balance sheets and share prices across the entire industry. Alamos is among the best positioned to not only weather the current environment but to outperform. We have a diversified North American production base, with growing production and declining costs. We have a diverse portfolio of growth projects where we control the pace of development and we possess one of the strongest balance sheets of our peer group, which affords us significant flexibility in the current environment. And with that, I will ask our CFO, Jamie Porter, to comment on third quarter 2015 financial performance.
Jamie Porter: Thank you, John. As John mentioned, with the merger having closed on July 2, this represents our first quarter reporting consolidated financial results for the combined company. As a reminder, though our transaction was structured as a merger of equals, accounting rules require that an acquirer be defined. AuRico was determined to be the acquirer for accounting purposes, which means that AuRico’s financial statements have formed the basis for the newly merged Alamos’ go-forward financial results. Accordingly, you will see that the financial and operating results of Mulatos have been included from July 2 onwards. Revenues for the third quarter totaled $104 million, based on the sale of 92,200 ounces of gold at realized price of $1,123 per ounce. Consolidated total cash cost of $850 per ounce and all-in sustaining cost of $1,155 per ounce were higher in the third quarter than what we expect going forward, largely due to the seasonally weak quarter from Mulatos. All-in sustaining cost of both Young-Davidson and El Chanate were consistent with annual guidance. We expect to benefit from higher production and corresponding lower cost in the fourth quarter and envision full-year 2015 consolidated all-in sustaining cost to be within our guidance range. We reported a loss in the third quarter of $33.4 million or $0.13 per share. This being the first quarter as a merged company, there were a number of adjustments impacting this result. Transaction costs related to the merger of approximately $3.5 million were included. In addition to a $2.5 million write-down of non-core exploration projects and a $4 million foreign exchange loss, these adjustments totaled $0.04 per share. In addition to the adjustments just noted, we started expensing differed stripping costs at El Chanate in the third quarter. And this had a $4 million or $0.02 per share impact on earnings. Going forward, you will note minimal differences between total cash costs and all-in sustaining costs at El Chanate as its capital stripping is expensed. Operating cash flow before change to the non-cash working capital was $6.1 million or $0.02 per share. Cash flows in the quarter were heavily impacted by the payment of transaction-related costs and another working capital items. Capital spending in the third quarter totaled $49 million, consisting of $17 million of sustaining capital and $32 million of development or growth capital. On a company-wide basis, year-to-date capital spending is consistent with expectations. Amortization expense was $31 million in the third quarter or $345 per ounce. This is down from a year ago on a per ounce basis for Young-Davidson and El Chanate, reflecting the impairment charges in the second quarter, along with the inclusion of Mulatos, which carries the lower per ounce amortization charge. Our G&A cost in the third quarter totaled $6.1 million comparing to the combined G&A of Alamos and AuRico previously. This is substantially lower than $8.9 million in the second quarter of 2015, and $7.6 million in the third quarter of 2014. We expect to see further improvements on corporate G&A costs, and we continue to realize synergies from the merger, which we forecast being substantially greater than the $10 million we’d initially identified. Our balance sheet remains a key area of strength in the current gold price environment. We ended September with approximately $320 million of cash and available-for-sale securities. Our cash balance declined significantly in the third quarter reflecting the cash payment of $21 million of transaction costs, working capital changes and negative cash flow from Mulatos. We are forecasting improved cash flow performance from our operations in the fourth quarter and beyond in 2016. We remained fully funded on our near-term highest return growth opportunities, which include the ramp up of underground mining at Young-Davidson and developing Cerro Pelon and La Yaqui at Mulatos. We expect both operations to self-finance this growth and expansion, driving strong free cash flow growth within the next two years. At this point, I will turn the call over to Alamos’ COO, Peter Macphail, to provide an overview of operations.
Peter Macphail: Thank you, Jamie, and good afternoon. As John mentioned, Young-Davidson continues to achieve its key operational targets. We met our budgeted meters for underground development, achieved a new record for underground mining rate of 5,600 tonnes a day in October, and realized the new low in terms of unit mining costs at US$32 a tonne. Underground mining rates averaged 5,100 tonnes a day in the third quarter, up 35% from a year-ago, reflecting ongoing productivity improvement. By September, we had achieved 5,400 tonnes a day, on October set a new record of 5,600 tonnes a day. We remain on track to achieving 6,000 tonnes a day by year-end. With the ongoing productivity improvements and favorable weakening of the Canadian dollar, we achieved a new record for unit mining costs, which decreased $32 a tonne, down from $41 a tonne year-ago, and $33 a tonne in the second quarter. We expect further improvement in our costs as we continue to undergo the ramp-up. Young-Davidson produced 38,200 ounces of gold in the third quarter, down slightly from the previous quarter, reflecting lower underground grades, partially offset by higher mill recoveries. Underground grades mined were 2.56 grams per tonne, slightly below the reserve grade of 2.74 grams per tonne. And this was a part of the planned stope sequencing. Grade reconciliations to the block model remained positive. Mill throughput averaged 7,700 tonnes a day in the third quarter, at an average grade of 1.88 grams per tonne. The ongoing ramp up in underground mining rates will continue to drive milled grades and production higher and all-in sustaining costs lower. Total cash costs were $681 per ounce, down from $697 per ounce in the second quarter and $723 per ounce a year-ago reflecting ongoing productivity improvement and the weakening Canadian dollar. All-in sustaining costs were $979 per ounce, down from $1,008 in the second quarter, and up slightly from year-ago. Both total cash costs and all-in sustaining costs are expected to continue to decrease as underground mining rates increase. With year-to-date production of 115,700 ounces and all-in sustaining cost of $988 per ounce, Young-Davidson remains on track to achieve full-year production and cost guidance. Mulatos had a seasonally weak quarter with heavy rains impacting crusher throughput and causing leach pad dilution, combined with the slower ramp up of the newly optimized mill this resulted in lower production for the quarter of 27,500 ounces consistent with the third quarter of 2014. Grade stacked on leach pad were consistent with the annual budget. The recovery ratio in the quarter was 57%, reflecting the impact of the rainy season. This is a timing issue as heavy rains result in a built-up gold in solution, which is typically recovered in the fourth quarter. With respect to the high grade mill, the vertical grinding mill was installed in the quarter and while the mill is being commissioned, we operated at lower throughput rates until we saw an improvement in recoveries. As recoveries improve, continue to increase our rate of mill throughput, exiting September at approximately 500 tonnes per day where it currently stands. Production from the mill is expected to improve in the fourth quarter reflecting both higher throughput rates and recoveries. At the end of September, approximately 53,000 tonnes of high grade ore had been stockpiled at grades in excess of the current reserve grade of 7 grams per tonne. The stockpile will be used to supplement underground ore production from San Carlos. With the recovery of differed leach pad production and better results from the mill, we are seeing stronger production from Mulatos in the fourth quarter. Total cash cost at Mulatos of $979 per ounce and all-in sustaining costs of $1,210 per ounce were higher in the quarter reflecting a lower production. Both are expected to decrease in the fourth quarter. El Chanate had another very strong quarter with production of $22,000 ounces the operation continued to benefit from the higher grade stacked in previous quarters and stronger recoveries. The operation remains on track to exceed fully year-end guidance and has been a good performer this year, having generated positive free cash flow through the first three quarters. With that, I’ll turn the call back to John.
John McCluskey: Thank you very much, Peter. That concludes the formal part of the presentation. I’ll now turn the call back to the operator and will open it up for your questions. Operator?
Operator: Thank you, sir. [Operator Instructions] Our first question is from Rahul Paul of Canaccord Genuity. Please go ahead.
Rahul Paul: Hi, everyone. Question at Mulatos, we did see a pickup increase at San Carlos to 11.6 in Q3. I’m just wondering should we expect similar grades going into Q4.
John McCluskey: Yes. We’ve been outperforming the reserve grade, Rahul, and we’re milling that stockpiles that sits there. And while we don’t want to predict that it’s going to continue forever, we are continuing to see a positive grade reconciliation there.
Rahul Paul: Thanks, that’s good to hear. And then, just second question, have you decided on what gold price you would use the reserves at year end? If I recall it was $1,250 for last year.
Jamie Porter: Rahul, it’s Jamie. That’s right, we used $1,250 last year. We haven’t made that determination yet, that what our price is going to be for this year end, probably within a $100 of last year’s price [without any] [ph] indication.
Rahul Paul: Okay, thank you. That’s all that I had.
Operator: Thank you. The following question is from Adam Melnyk of National Bank Financial. Please go ahead.
Adam Melnyk: Thanks. I have two questions for Jamie, and two questions for Peter. Peter, maybe starting with you, I’m wondering about the timing of the satellite deposits at Mulatos. You’ve talked before I think about 2017 that was coming online. I’m wondering with the ongoing permitting, as well as the ongoing exploration of those satellite deposits, if you can maybe fine-tune that estimate for us a little bit in terms of when we should expect La Yaqui to come on, and then how long after that we should expect Cerro Pelon to come into production?
Peter Macphail: Yes. Thanks, Adam. Yes. We’re permitting away there and that’s going well. As you know we got access to the ground about a year ago and done all of the geotechnical work. And that’s progressing as planned. Currently, we’re looking at first to second quarter of the 2017 for La Yaqui to come on line. We’re permitting as we know it now. We do - We’re certainly encouraged with the exploration that we’re getting around there. But, it’s easier to expand and adjust the permit once you got the thing up in operations. So we’re just permitting what we know we have and then we’ll adjust and expand as we go.
Adam Melnyk: So for that - for second quarter of 2017, when would you need to start construction there and stripping, et cetera?
Peter Macphail: There is almost no stripping at La Yaqui, so it’s not a big deal. Probably, we want to be - we’ve already started realigning a road down there. We’re poking around with what we can do. And then, once we get the full permits we want to be in construction roughly a year ahead.
Adam Melnyk: Okay. When are those permits expected again, can you remind me, based on that timeline?
Peter Macphail: In next spring, spring of 2016.
Adam Melnyk: Okay.
Peter Macphail: And you asked about Pelon, and it would be roughly six months behind.
Adam Melnyk: Okay, okay, perfect. Okay, okay. And then changing to Young-Davidson, grades for the second quarter were below reserve grade. I think six quarters in a row, successively lower grades. So there seems to be some inertia there. I know you talked about the stoping plan as the cause for that, and you’ve guided for reserve grade going forward. But wondering if you can again maybe fine-tune that a bit for us, perhaps qualitatively in Q4 into 2016?
Peter Macphail: So we are - yes, the reserve grade is 2.74 grams per tonne. And that’s what intend to - I expect that we’ll mine the thing out at that grade or even perhaps slightly more as the - it’s been reconciling positively thus far. But to - we were higher than that earlier on. And if you look at life of mine, we’re probably still higher than reserve grade. If you look at year-to-date our grade is 2.70 and which is pretty much right on budget and reserve grade. So, yes, that’s what - yes, I…
Adam Melnyk: So if you - maybe I’d ask it differently, if you’re going to advise us on our modeling for the Q4 into 2016, stick with reserve grade, is that what you’re comfortable with in terms of guidance at this point?
Peter Macphail: Yes, yes, that’s what I would suggest you do.
John McCluskey: Yes, just looking back, Adam, for 2014 we average 3.07 and year-to-date in 2015 we’re 2.7. So we beat last year, and we’re pretty close this year.
Adam Melnyk: Right. Okay, okay.
Jamie Porter: And if you look at how you start up a mine, in the first year or so it’s pretty low production in terms of tonnage. And you’re going to kind of zero-in on the higher grade stopes that you can find. And then, as you get up close to your long–term run rate it’s going to come closer to the long term average.
Adam Melnyk: Okay. Okay, thanks, guys. Jamie, a couple for you here quickly, CapEx at Young-Davidson about $33 million in the quarter that was a little bit higher than we were looking for. So far you’ve got about $82 million of capital there versus budget of $85 million to $95 million. You’re starting to get close to that annual budget for CapEx at Young-Davidson, wondering if you can again just give us a sense of how you see that in the fourth quarter on a run rate and as well into 2016.
Jamie Porter: Absolutely. Yes, I think, you’re right, I mean, especially in Canadian dollar terms, we’re over in terms of our spending at YD this year. U.S. dollar terms will likely be slightly over the top-end, but that reflects some management decisions that we were made post-merger, things like, for example, AuRico has been financing a fair bit of equipment, paying 5% to 8% interest on that equipment. We’re sitting with over $300 million in cash, earning 0.4% interest. So we elected to buy that equipment outright. So this has been some conscious decisions on the part of management that just made economic sense, but somewhere it will increase their overall capital budget for the year. I think this is - our capital spending and achieving our budget for 2016 is a key strategic priority. And we position the budget, and we positioned YD for next year, such that they’ll be able to self-finance their CapEx. The operating cash flow will be sufficient to finance all their growth and expansion spending. That’s our plan for next year, and I think you’ll see that when we release our budget in early 2016.
Adam Melnyk: Okay. So maybe as a follow-up there, is underground development tracking relatively in line? You talked about maybe more CapEx on equipment, but is underground development tracking in line with what the 2015 budget was or are you above that as well?
Jamie Porter: I think, we have been above in 2015, and that’s because we’ve been using the contractor more than what was budgeted. But like I said, we’ve got a plan in place to address that for next year.
Adam Melnyk: Okay. So, we should expect lower capital in the fourth quarter relative to the third quarter, is what it sounds like?
Jamie Porter: I would say you should expect lower capital in 2016 relative to 2015. The fourth quarter of this year I think is forecast to be bit lower as well.
Adam Melnyk: Okay, okay. And then, last question quickly, it’d be a miss without asking, regarding the accounting change at Chanate, can you just give us some background there and logic as to why you’re moving to expense stripping as opposed to capitalized stripping that was done previously and what’s the reasoning behind the accounting change there?
Jamie Porter: Sure. Yes. It’s not so much an accounting change as it is a change in estimates. You’ll recall in Q2, we rode off the capitalized mineral property balance associated with El Chanate, because the expected future cash flow didn’t warrant the value there. So, that remains the case. If we were to continue to capitalize those stripping costs, we’ll just be writing them off at the end of every quarter. So, that’s the reason for that change.
Adam Melnyk: Okay. Okay. Thanks. That’s it for me.
Jamie Porter: Yes. Just one last comment on that. Frankly, I think it makes the numbers more transparent there as well. You’ll see their total cash costs are going to be in line with their all-in sustaining cost going forward given there’s very little in the way of the equipment or other sustaining capital there. So it’ll be fairly, it’s fairly easy exercise to predict what the El Chanate is going to perform.
Adam Melnyk: Okay. Yes, I agree with that. Thanks for taking my questions, guys.
Operator: Thank you. The following question is from Mike Parkin of Desjardins. Please go ahead.
Michael Parkin: Hi, guys. Maybe just a follow-up question to Adam’s call, would there not be a tax benefit to at El Chanate to go into fully expense stripping on the EBITDA tax?
Jamie Porter: No. Mike, we - accounting doesn’t necessarily follow the tax. So in Mexico even though we were capitalizing the cost previously, we can still expense them for tax purposes.
Michael Parkin: All right.
Jamie Porter: And we’re in a tax loss position at Chanate in anyway. So we’ve got some built-up losses there that we hope to be able to do to through next year and beyond.
Michael Parkin: Okay. And then, just maybe a comment on given that the rainy season hurt you guys in the fourth quarter of last year, is it over now? Are you finding your - getting back to stronger performance at YD - oh, sorry, Mulatos?
Peter Macphail: Yes. Hi, Mike, it’s Peter. Yes. The rainy season has ended. We didn’t still get some rains in October. But it’s - for mid-October it’s dried up. So - and we are seeing - we are seeing the production coming up as we would expect it too.
Michael Parkin: Okay. And then, with the San Carlos, the significantly better grade than the reserve grade, is there an negative effect there that’s driving that or can you give a bit more color on why you think you’re getting a much better grade than your drilled - estimated grade?
Peter Macphail: Yes, we’re - I think, what we’re seeing is we’re mining at narrower than what we were planning on mining at - in the reserve plan. And it’s - we’re able to get - we’re able to mine it at a higher grade, kind of the probably similar ounces at the end of the day, but higher grade.
Michael Parkin: So, basically more of a dilution - better solution factor?
Peter Macphail: Yes, yes.
Michael Parkin: Okay. Well, that’s it for me. Thanks, guys.
Operator: Thank you. The following question is from Dan Rollins of RBC, please go ahead.
Dan Rollins: Yes, thanks very much. Just want to touch-base on YD here. Obviously, had a bit of slower underground mining rate through Q3, it’s picked up in September and October. You’re going to exit this year at 600,000 tonnes a day. Are you still on schedule to exit 2016 at 8,000 tonnes a day?
Jamie Porter: We’re still going through our planning in our budget cycle. So we’ll be providing guidance on that in January, but the ramp up continues. I mean, as far as having two quarters in a row at around 5,000 tonnes a day, if you look back in the history, the quarter-by-quarter history that we used to put out there, you would have seen a couple of quarters in a row of 4,000 tonnes a day.
. :
Dan Rollins: Okay. So we’ll see a couple - every other couple of quarters we’ll probably see a bit of a step-wise change on the throughput as you catch-up the…
John McCluskey: Yes. And I don’t think you should get worried - we should worry too much about having it not being perfectly linear. We’re getting there.
Dan Rollins: No, no, I’m not worried about that. I’m just - I want to just confirm, because previously AuRico had stated that 8,000 tonne a day was the actual rate for 2016, just wanted to make sure that was - there is nothing that’s changed. In my plan that says - that still isn’t attainable or might just take a couple of more quarters.
John McCluskey: Yes. Well, I said, we are looking at our 2016 budget plan currently and we’ll be coming out with guidance.
Dan Rollins: Okay. Are you guys still comfortable on a Canadian dollar basis to get the unit cost down on a mining basis, underground at why do you down to 35?
John McCluskey: Yes, we remain - if you look at on a Canadian dollar basis the last two quarters, we have been around $41, $42 somewhere in there, and that’s 5,000 tonnes a day. So, I mean, just with the economies of scale mid-30s, yes, should be no issue with that.
Dan Rollins: Okay, perfect. And, Jamie, can you just confirm, you didn’t break out - you’ve changed the sort of the accounting here on. It’s a little bit - you used to break out depreciation in that quite a bit. I assume given the write-down at El Chanate, there’s basically no depreciation there anymore. And then, I was wondering, maybe even offline you just let us know what it is the - what the dollar basis for both YD and Mulatos during the quarter?
Jamie Porter: Sure. The amortization by mine, yes, we can do that, you are right on Chanate. There is no carrying value, but there is amortization that’s an inventory and that goes down from [indiscernible] producers and amortization charges associated with those. But, yes, I can - I’ll shoot that over to you.
Dan Rollins: Okay, perfect. And then, John, maybe you just touch base on Turkey. You mentioned the AK Party getting elected, which I think is great for the mining sector there given the support of that government over the last 5 to 10 years. But when are - are you still thinking you get permits by year-end here, or is it - now you’re starting to think more into beginning of 2016?
John McCluskey: Well, a few weeks either way of that. It’s always difficult to pin it down to that kind of exactitude. But I was just in Turkey last week. I met with our advisors. Their feedback was that the election was very positive for our projects, having continuity of policy there in some key cases, continuity of people, decision markers that remain in place. They think that’s all very, very positive. And we’ve gone ahead and we’ve submitted our forestry permit. The way it sequenced is, after you obtain the forestry permit, then you apply for your construction permit. So all of that is essentially in progress, and I think the timing on it is certainly going to be well in advance of any groundbreaking that we would intend to do, because as I’ve sort of said over and over again, we don’t try to actually get construction started until spring of next year in any case. So I think we are very likely to have our permits in hand well ahead of that.
Dan Rollins: Okay, perfect. And then are you still on schedule for the submission of EIA that - Esperanza later this year?
John McCluskey: I think I would be more comfortable saying that, early next year for the submission of that permit. Just with - the work is ongoing. I don’t know whether I’m talking out of turn here, but the work is ongoing. And I suspect though that it’s going to be early next year, before we put that in for permitting.
Dan Rollins: Okay, great. Thanks very much for the questions I asked.
Operator: Thank you. [Operator Instruction] The following question is from Kerry Smith of Haywood Securities. Please go ahead.
Kerry Smith: Thanks, operator. Jamie, can you give us maybe just a bit of range, as to what you think the G&A might look like next year in like dollars, millions, total for the company?
Jamie Porter: Yes, yes, certainly can, Kerry. I think, you saw, we came in at $6 million in the third quarter, indicated in the conference call script that we’re going to see further synergies. I think we’ll be between that’s $4.5 million, $5.5 million a quarter going forward. So $18 million to $22 million annualized, which represents almost $10 million in savings relative to Alamos and AuRico combined previously.
Kerry Smith: All right. Okay, okay. And then for, I think, Peter, if I understood you correctly for the permits that you’ve applied for at La Yaqui and Cerro Pelon, those permits would not allow you to mine any of these incremental exploration drilling that you’ve been doing. And it’s kind of restricted to certain area that wouldn’t include that drillings underway, is that correct?
Peter Macphail: Yes. Just to be clear, we haven’t submitted the applications yet. We’re working on them. So, but it is in an existing camp and it’s well understood. As far as the drilling that we’re doing, it’s outside what would be the current limits of what would be permitting for. But modifying those permits once you’re up and running is pretty standard course there.
Kerry Smith: Right, but you would need to modify the permits to incorporate those areas if they turned out then?
Peter Macphail: Yes.
John McCluskey: That’s virtually the same everywhere in the world, Kerry. I don’t know any place that’s any different. But we’ve been doing that - we’ve probably done it four times just in relation to the Mulatos pit. We’ve had four expansions of that pit and it’s never taken us any more than four to six months to get those expansions - to get those approvals. So, always have the permit in hand well ahead of the point in time where we move into the new zone. So, I’m not worried about that at all.
Kerry Smith: Okay.
Jamie Porter: The other thing, Kerry, just further, with all the new drilling that we’re doing at both Yaqui and Pelon is on land that we currently have surface rights for. So that certainly helps that equation.
Kerry Smith: Okay. Okay. Yes, I just thought maybe might even lucky and the area you’d applied for actually incorporated some of that area, but - and then, just one last question. How many tonnes are you sort of thinking you would mill through the mill at Mulatos in Q4, just total tonnes roughly?
Peter Macphail: Well, that would be somewhere around 500 tonnes a day times 90. So…
Kerry Smith: Okay. So, 500 average. Okay.
Peter Macphail: Yes.
Kerry Smith: Okay. That’s fine. And then, just last question, if I could, just the grade of that stockpile that you have down at Mulatos, what is the rough grade of that pile, was it kind of close to the grade you milled in Q3 or is it somewhere between that and reserve grade?
Peter Macphail: Kerry, I think, the way we’ve characterized in press release and MD&A is that, that it’s currently above the reserve grade. But we can’t get an accurate reflection of the grade until once we get - it’s actually been processed and the grades are [ph] calculated. So, I think we’ll stick with it. It’s better than the 6 gram reserve grade here.
Kerry Smith: Got you. Okay. Perfect. Thanks very much guys.
Operator: Thank you. The following question is from Anita Soni from Credit Suisse. Please go ahead.
Anita Soni: Hi, good morning, guys. So, my question - most of them have been asked and answered. The one that I had remaining was build reserves. Just to follow-up on the gold price. Could you also give us the assumptions that you used on currency and oil last year?
John McCluskey: I remember for peso it was 14.5, and we’ve been running close to or better than 2016 for most of the year. The oil price, I don’t think we - I think we use our actual costs from the Mexican government, because as you know we’re kind of a price-taker there. And in fact, the cost that come in is somewhat under what we had budgeted, because the Mexican government decided not to continue raising the cost of diesel on a monthly basis as they had been doing for the previous probably 30 months. So, I think in the case of the diesel price next year, we’re just going to have to wait and see what the Mexican government sets and that will be what it is.
Peter Macphail: So, Anita, just with reference to YD, I think the CAD/U.S. FX was actually they use parity last year.
Anita Soni: And this is all with respect to reserves, right?
Peter Macphail: Yes.
Anita Soni: Okay, all right. Thank you very much.
Operator: Thank you. There are no further questions registered. If you have any further questions that have not been answered because of time limitation, please feel free to contact Mr. Scott Parsons. The conference call has now ended. Please disconnect your line at this time. And we thank you for your participation.